Operator: Good afternoon. My name is Jordan, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Ashford Inc. Results Conference Call. [Operator Instructions] Jordan Jennings, Director of Investor Relations, you may begin your conference.
Jordan Jennings: Good day, and welcome to today's conference call to review results for Ashford for the third quarter of 2023 and to update you on recent developments. On the call today will be Deric Eubanks, Chief Financial Officer; and Eric Batis, Executive Vice President of Operations. The results as well as notice of accessibility of this conference call on a listen-only basis over the Internet were distributed yesterday in the press release. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed on Form 8-K with the SEC on November 8, 2023, and may also be accessed through the company's website at www.ashfordinc.com. Each listener is encouraged to review these reconciliations provided in the earnings release together with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compare the third quarter ended September 30, 2023, with the third quarter ended September 30, 2022. I'll now turn the call over to Deric.
Deric Eubanks: Thanks, Jordan, and welcome, everyone to our call to discuss our financial results for the third quarter of 2023. I'll start by giving you an overview of our operations, strategy and financial results for the quarter and then Eric will provide an update regarding our operating businesses. After that, we will open it up for Q&A. The key things we're going to highlight today are: first, the lodging industry has continued to perform well. And for the quarter, we reported revenue growth over the prior year at most of our portfolio of companies. However, our margins have been negatively impacted as our businesses resume more normalized staffing levels. Second, we continue to see an attractive pace of capital raising through Ashford Securities and have raised approximately $540 million of capital since its launch in 2021. And third, we're excited to provide an update on our newest advice platform, the Texas Strategic Growth Fund. The Texas Strategic Growth Fund is a private investment vehicle focused on investing in all types of commercial real estate in Texas. As of September 30, 2023, our two publicly traded REIT platforms, Ashford Trust and Braemar, had ownership interest in 116 hotels with approximately 27,000 rooms and approximately $7.9 billion of gross assets. Braemar's Resort portfolio continues to see some stabilization in both demand and pricing as leisure guests now have more options for travel while its urban hotels continue to recover nicely as both corporate and group demand continues to strengthen. Ashford Trust continues to focus on deleveraging its balance sheet and extending its maturities and ended the quarter with $271 million of net working capital. To date, Ashford Trust has issued approximately $77 million of its nontraded preferred stock. We believe this is an attractive source of capital for that platform. Ashford Trust recently announced the planned conversion of its Crowne Plaza La Concha Hotel in Key West, Florida to a Marriott Autograph Collection property in early 2024, and the planned conversion of the Le Pavillon Hotel in New Orleans, Louisiana to a Tribute Portfolio property, also part of the Marriott brand family. Both of these announcements illustrate how Ashford Trust can unlock embedded value in its high quality, geographically diversified portfolio. Ashford Trust continues to focus on paying off its corporate financing, primarily through select asset sales, refinancing and extending upcoming debt maturities and raising capital through its nontraded preferred stock offering. Our newest advised platform is the Texas Strategic Growth Fund, which we launched late last year. We recently made a $2.5 million investment in this fund and that capital, along with other capital raised from outside investors, which used to make an equity investment in a multifamily property in San Antonio, Texas. Our strategy and structure are designed for growth. We have a powerful ecosystem of businesses that all benefit as we grow our assets under management. Our size and scale in the lodging industry also brings benefits to third-party owners and other capital providers as we are one of the largest owners and fee payers for the major hotel brands. We believe we have a superior strategy and structure that is unique within the hospitality space, and we are excited about the potential growth of our platform. Over the past few years, we've completed numerous bolt-on acquisitions for our operating businesses, and we continue to look for attractive opportunities to strategically and accretively grow our business. I will now turn to our financial results for the quarter. Net loss attributable to common stockholders for the third quarter was $12 million. Adjusted EBITDA was $11.8 million for the third quarter. Adjusted net income for the third quarter was $7.8 million and adjusted net income per diluted share was $0.96. Total advisory fee revenue from Braemar in the third quarter increased 5.8% over the prior year quarter. Our share count currently stands at 8.2 million fully diluted shares outstanding, which is comprised of 3.1 million common shares outstanding, 0.2 million common shares earmarked for issuance under our deferred compensation plan, 4.2 million common shares associated with our Series D convertible preferred stock and the remaining 0.7 million shares of our acquisition-related shares and restricted stock. I'll now turn the call over to Eric to discuss our operating businesses in more detail.
Eric Batis: Thank you, Deric. We are excited to provide third quarter updates on our products and services businesses. Our strategy is to acquire exceptional businesses and create shareholder value by implementing best operating practices, executing accretive add-on acquisitions and utilizing our unique ability to refer these businesses to our advised REITs. In the third quarter, the products and services businesses posted strong top line performance, with three businesses achieving greater than 15% revenue growth over the prior year quarter. We are excited about these market share gains, particularly for our businesses with recurring clients as we look to optimize expenses in future quarters. The first business I'd like to discuss is INSPIRE, our leading single-source solution for meeting and event needs with an integrated suite of audiovisual services, including show and event, hospitality and creative services. INSPIRE executed four new hospitality contracts during the third quarter, which are expected to contribute $2.2 million of annual audiovisual revenue. INSPIRE generated $30.6 million of audiovisual revenue in the quarter, a 17.1% increase over the prior year quarter and $0.8 million of adjusted EBITDA. The third quarter is historically the lowest margin quarter of the year for INSPIRE due to seasonality, but we are pleased with the continued revenue growth. Remington is a dynamic hotel management company, providing best-in-class management and expertise to hotels across the country. In the third quarter, Remington executed four new third-party hotel management agreements representing $1.1 million of annual revenue. Remington also generated third quarter hotel management fee revenue and adjusted EBITDA of $12.4 million and $4.7 million, respectively, representing a 37.8% adjusted EBITDA margin. Remington's margin has decreased compared to the prior year quarter due to an increase in lower-margin ancillary revenues and lower incentive management fees, which were elevated in 2022 due to hotels outperforming budget throughout the pandemic recovery. At the end of the third quarter, Remington managed 121 properties that were open and operating. Remington managed 72 properties for Ashford's advised REITs, Ashford Hospitality Trust and Braemar Hotels & Resorts. Remington also managed 49 third-party properties for 30 different ownership groups, 13 of which have hired Remington to manage two or more of their hotels. These ownership groups include real estate funds, family offices, high net worth individuals, private equity groups and developers. Remington's managed portfolio operates in 26 states and Washington, D.C. across 26 brands, including 13 independent and boutique properties. Earlier this week, Remington announced its expansion into the Caribbean market. The company has begun managing Crocs Resort and Casino in Costa Rica, marking Remington's first property in the region. Remington Hospitality is broadening its international portfolio with one additional signed contract in Costa Rica and two in the Dominican Republic. We look forward to providing additional updates on future calls. RED Hospitality & Leisure is a leading provider of watersports activities and destination services in the U.S. Virgin Islands, Puerto Rico, Florida Keys, Turks and Caicos and Hawaii. In the third quarter, RED generated $8.4 million of revenue representing a 26.7% increase over the prior year quarter and $0.9 million of adjusted EBITDA. RED has continued to see demand level off from its post-COVID peak in the Florida Keys market, causing less high-margin incremental passenger revenue to be captured. Earlier this year, RED acquired Alii Nui and Maui Dive Shop in Hawaii, establishing a strategic foothold in the market. The RED's operations in Hawaii were significantly impacted by the Maui wildfires in August 2023. RED expects demand to ramp back up through the end of 2023 and into early 2024 as Maui recovers and tourism demand normalizes. Our hearts go out to the people impacted by this tragedy. The next business I will discuss is Premier, which provides comprehensive and cost-effective design, development, architecture, procurement and project management services. Premier generated $7.4 million of design and construction fee revenue in the third quarter, representing 18.4% growth over the prior year quarter. Premier also generated $2.7 million of adjusted EBITDA resulting in a 36.9% adjusted EBITDA margin. During the quarter, Premier executed five new third-party contracts, representing $0.5 million of expected fee revenue. Premier plans to further grow ground-up development, general contracting, architecture and design project opportunities to diversify its revenue streams. We are very pleased with the ongoing success of Ashford Securities fundraising efforts. Through the third quarter, Ashford Securities has raised approximately $540 million of capital since 2021. Ashford Securities is currently in the market with a redeemable nontraded preferred stock offering for Ashford Trust and has continued to build momentum by growing our institutional broker-dealer and RIA relationships. Since the launch of the Ashford Trust nontraded preferred stock offering, Ashford Securities has placed approximately $76.8 million of capital. This is an attractive source of capital for Ashford Trust to both improve its balance sheet and for potential growth. Ashford Securities is also raising capital for a growth-oriented investment product focused on commercial real estate in Texas. As of the end of the third quarter, Ashford Securities has raised over $5.6 million of capital, including an investment by Ashford Inc. of $2.5 million and signed dealer agreements with 19 firms to distribute this product. Additionally, during the third quarter, the Fund made its first acquisition. We continue to maintain a focus on growing our products and services platform through two primary initiatives: third-party sales and strategic acquisitions, while we continue to pursue opportunities to meaningfully scale across all our portfolio companies. That concludes our prepared remarks, and we will now open up the call for Q&A.
Operator: Your first question comes from the line of Tyler Batory from Oppenheimer. Your line is live.
Jonathan Jenkins: Good afternoon. This is Jonathan on for Tyler. Thanks for taking my questions. First one for me. I think you have a pretty unique viewpoint, given the variety of businesses that you own and this might be difficult given the normalization and seasonality that's going on right now. But are you seeing the trend line slow at all here in November? Is there anything that kind of gives you pause or does it still feel pretty healthy out there within reason?
Deric Eubanks: This is Deric, I'll chip in. Eric may want to add some information there as well. I -- Look, I think from our perspective, the lodging industry, in general, continues to perform well. As we've mentioned on other calls, the demand side from both groups and business transient, corporate demand continues to be strong where we've seen normalization as we talked about is on the leisure side, where you had this extreme ramp-up in demand after COVID. And a lot of that was concentrated in Florida and the Keys and the Caribbean when folks couldn't go overseas. And this year, we saw the impact of leisure travelers having more options and more of that travel going overseas and cruises and elsewhere that negatively impacted leisure markets and leisure resorts, resort that are more focused on leisure. But having said that, those properties are still performing well, well above previous performance levels in 2019, et cetera. So we continue to have the view that the lodging industry is performing well. Demand is strong, not as strong as it was from a leisure perspective, but that was to be expected. And at our businesses where we've seen some, I guess, some impact on our margins was really because of the revenue growth that we saw last year when those businesses were not fully staffed back up. And we knew those margins were not sustainable because we were not -- we didn't have a normalized staffing level yet, we had the benefit of a lot of those revenues coming in. And so that's been one of the challenges as we continue to grow our revenues at our portfolio companies. We've seen some margin pressure as our labor situation and staffing levels are more normalized. So with that, I'll let Eric chime in.
Eric Batis: Yes. Jonathan, the only thing I'd add to that is that the only I'd say the biggest sign we would see if any kind of "slowing" is that in some cases, it's taking folks longer to make decisions when they're hiring any of our portfolio companies. So our time to close the business is a little bit longer than what we've seen in prior years with people just hesitating a bit. However, you can tell by the comments I made with INSPIRE, Remington, Premier, all continuing to add business that were overcoming that still. It's not as if people are completely putting pencils down and stopping. So that's the only other color I'd add beyond what Deric mentioned.
Jonathan Jenkins: Okay. Great. Appreciate the color there. And then maybe to segue off of Deric's comments on labor. Can you provide some additional color on the return to more normalized staffing levels and the labor environment in general? I mean how many positions are left to fill? Any color on the way proof that you've seen out there as well?
Eric Batis: Yes, sure. So it's a number of different things, right? As you can tell, in addition to returning to normalized staffing levels, we're also growing revenue pretty significantly. And so we are continuing to staff up for that growth as well, and we expect that growth to continue. So we will, certainly, at some point here soon begin capturing more of the -- more profitability from the revenue growth. But what you're seeing is kind of a combination of staffing up to normal levels. We don't have a lot of positions outstanding still that I think we're dying to fill. I don't have specific numbers for you at the portfolio of companies. But it's as much getting to normalized staffing. Wages increasing for kind of hourly labor and then still continue planning for the significant revenue growth that we are achieving now and expecting into next year to continue. So I don't know if that answers your question, but that's kind of the theme there. And of course, the kind of per unit cost of labor and some of our other expenses are higher with some of the inflation that we're experiencing.
Jonathan Jenkins: Okay. Understood. And then switching gears to Remington, any high-level commentary on the expansion in the Caribbean? And how you're thinking about the opportunity for growth at Remington longer term in the Caribbean and maybe broader internationally?
Eric Batis: Yes. I mean we'll have a lot more next quarter on this probably. But we see it as an area where we have a lot of opportunity to grow. We've got some resources dedicated specifically to growth in that area. There's not as competitive a market in terms of the number of people that are managing number of companies managing in those markets. And so we've recently established Miami office, and it's a concerted effort for us to go identify opportunities down there, and we're having some early success. So I do expect that we'll -- I mentioned in my prepared remarks that we've added three additional contracts already in addition to the one that we're adding now, and I don't expect that growth to accelerate as we continue to focus in that area.
Jonathan Jenkins: Okay. And then last one from me, if I could, on Ashford Securities. It continues to accelerate nicely. Can you remind us kind of the opportunity for further growth there? And maybe how that ramp has compared to your initial expectations?
Deric Eubanks: Yes, I'll take that. Look, we've been very happy with the ramp-up in capital raising. I think if you look across that industry and segment being able to raise over $500 million in the amount of time that we've been able to raise it is pretty fantastic. So we're very happy with the ramp up there. Look, our two primary objectives are to grow our assets under management and to grow our third-party business. We view Ashford Securities as a primary way to be able to grow our assets under management by raising capital and then deploying that capital into either hotel acquisitions, investments in other property types like our Texas Strategic Growth Fund and other investments like that, that we can asset manage and potentially put in our other portfolio companies into those assets, et cetera. So I think the growth prospects for Ashford Securities is pretty significant. And we had a great success with our Braemar nontraded preferred offering. We've now raised approximately $77 million for AHT. That offering will be open for more than two more years. So there's still plenty of room to run on that offering. We're out in the market right now with this private fund called the Texas Strategic Growth Fund. And there are other products that we could sell through Ashford Securities to grow our assets under management and potentially have other advised platforms. And so that's something that we are kind of constantly thinking about and talking about, and we'll see what comes down the pike there, but we continue to be very excited about the potential for Ashford Securities to help us grow our assets under management.
Jonathan Jenkins: Okay, excellent. Thank you for all the color. That's all for me.
Deric Eubanks: Thanks.
Operator: [Operator Instructions] This concludes today's conference call. You may now disconnect. This concludes today's conference call.